Operator: Good morning, and welcome to the Nuvve Holding Corporation First Quarter 2025 Earnings Conference Call. On today's call are Gregory Poilasne, Chief Executive Officer; and David Robson, Chief Financial Officer of Nuvve. Earlier today, Nuvve issued a press release announcing its first quarter 2025 results. Following prepared remarks, we will open up the call for questions. Before we begin, I would like to remind you that this call may contain forward-looking statements. While these forward-looking statements reflect Nuvve's best current judgment, they are subject to risks and uncertainties that could cause actual results to differ materially from those implied by these forward-looking projections. These risk factors are discussed in Nuvve's filing with the SEC and in the earnings release issued today, which are available on our website. Nuvve undertakes no obligation to revise or update any forward-looking statements to reflect future events or circumstances. Please note this event is being recorded. With that, I would like to turn the call over to Greg Poilasne, Chief Executive Officer of Nuvve. Gregory?
Gregory Poilasne: Thank you, and good afternoon to everyone here today. Welcome to our Q1 2025 results call. This quarter has been a good transition quarter. Though our top-line revenue for the quarter is not yet where we want, we are in a much better position than Q1 2024. We have received 28 orders for a new charging station versus only one a year ago. Our backlog is growing, but our revenue recognition slowed as we transitioned to a drop-ship model with our new partner, Tellus Power Green that we announced in January. The quarter and the first half of Q2 have been reached in action. In February, Nuvve was awarded a critical contract with the state of New Mexico. This framework agreement allows us to provide proposals to any governmental EV deployment, either with school districts, municipalities, or state organizations, without going through an RFP process. These infrastructure deployments, including charging stations, solar, storage, and microgrid implementation, will be financed for the state of New Mexico by our partner, Jefferies. This project represents a potential opportunity greater than $400 million of CapEx deployment over the next four years. In order to successfully support this opportunity, we have established a special company in the state of New Mexico named Nuvve New Mexico. The purpose of this LLC is to develop close ties with key stakeholders in the state. Ted Smith, our former Chief Operating Officer, has been named CEO of Nuvve New Mexico. He is our champion and will bring any component from Nuvve in order to successfully support the state. We have also decided to open some of the capital of Nuvve New Mexico to local investors in order to align interest. I'm looking forward to sharing more of our progress in the state of New Mexico soon. Moving on to Japan, after many years of managing batteries for Chubu Electric in collaboration with Toyota Tsusho, we have decided to move on and create a new entity that will drive the energy storage business in Japan on its own. Nuvve Japan is now established, and we have brought on board Masa Higashida to lead our operations in Japan. This new company is initially focused on stationary storage deployment monetization. We have new derogation in 2026, supporting the aggregation of distributed storage in order to participate across a variety of energy markets. We are very bullish on the Japanese market, and we are convinced that we are doing this transition at the right time. In order to support and accelerate the development of Nuvve Japan, we have also made the decision to open a minority of the capital to local investors. This process is well underway, and we will share more information as it becomes available. Later in the quarter, we also announced our Battery-as-a-Service model for electric cooperative, and we welcomed Michael Smucker as our energy storage sales leader. We believe that the problem of grid monetization needs to be resolved between substation and the end customers. At the end of the quarter, we made two important announcements. First, in late April, we announced the acquisition of the assets of Fermata Energy into Fermata 2.0 with 100% of the common shares owned by Nuvve. We made this decision based on a few key elements. First, we felt that Fermata had been focusing on behind-the-meter value extraction. The Fermata platform tool stack was very advanced also. Second, Fermata has developed a solid relationship with vehicle manufacturers, an area where Nuvve has been less focused. We have been able to execute this acquisition without any cash coming from the Nuvve holding balance sheet, while acquiring a mature pipeline allowing for extended long-term opportunities. We are very excited about the future of Fermata under Nuvve Umbrella, which provides us the opportunity to consolidate software development resources. Finally, in late April, Nuvve also announced the creation of a new subsidiary in order to address another distributed asset management business, digital assets. This effort, led by James Altucher and supported by Tim Collins and me, is focusing on building a diversified portfolio of cryptocurrency. The Digital Asset Management Committee is going to oversee the portfolio distribution by targeting multiple picks and shovels tokens from high-growth sectors such as decentralized finance, DeFi, decentralized physical infrastructure, DePin, programming, and tokenization of real-world assets. In summary, this quarter carries the fruit of many quarters of hard work to transform Nuvve, reducing our cash burn at the holding level, and focusing the organization on profitability. This transformation is well underway, and we are very excited about the future. And now, I will let David take you through the details of our financials.
David Robson: Thanks, Gregory. I will start with a recap of first quarter 2025 results. In the first quarter, we generated total revenues of $0.9 million, compared to $0.8 million in the first quarter of 2024. The growth was primarily driven by increased charger hardware sales versus the same period last year. Margins on products, services, and grant revenues were 39.9% for the first quarter of 2025, compared to 34.7% for the year-ago period. The increase is primarily due to a higher mix of service revenues this quarter compared with last year. Excluding grant revenues, margins on product and service revenues were 32.6% for the first quarter of 2025, compared to 26.8% in the current year-ago period. As a reminder, margins can be lumpy from quarter-to-quarter, depending on the mix. DC charger gross margins at standard pricing generally range from 15% to 25%, while AC charger gross margins are approximately 50%. But in dollar terms, are a small fraction of the revenue of the DC charger. Grid service revenue margins are generally 30%, while software and engineering service margins are as high as 100%. Operating costs, excluding cost of sales was $6 million for the first quarter of 2025, compared to $5.9 million for the fourth quarter of 2024, and $7.5 million for the first quarter of 2024. We have continued to drive efficiencies in 2025, resulting in lower overhead costs. We expect the lower operating costs we have realized this quarter, compared to the prior year first quarter, to continue in future quarters. Cash operating expenses, excluding cost of sales, stock compensation, and depreciation and amortization expense, was $5.3 million in the first quarter of 2025, versus $5.2 million in the quarter of 2024, versus $6.6 million in the first quarter of 2024. This represents a decline of $1.3 million in expenses over the same quarter last year. Other expense was $1.3 million in the first quarter of 2025, compared to $0.5 million of other income in the first quarter of 2024. The prior year period benefited from non-cash gains from the change in the fair value of warrants, while the current period had non-cash losses from the change in the fair value of convertible debt and warrants, in addition to interest expense from borrowings. Net loss attributable to newly common stockholders decreased in the first quarter of 2025 to $6.9 million, from a net loss of $7 million in Q1 of 2024. The improvement was primarily a result of lower operating expenses, offset by higher non-operating expenses. Now, turning to our balance sheet, we had approximately $1.2 million in cash as of March 31, 2025, excluding $0.3 million in restricted cash, which represents an increase of $0.8 million from December 2024. The increase was a result of capital raised to the issuance of common stock and the exercise of warrants, totaling $1.4 million, and an increase in net borrowings of $1.2 million, primarily offset by $1.8 million used in operating activities. During the quarter, inventory decreased by $0.5 million to $4.1 million at March 31, 2025, as we continue to improve our inventory turnover. During the quarter, accounts receivable decreased by $0.7 million to $1.5 million at March 31, 2025, due to improved collections of our customer balances. Accounts payable at the end of the first quarter of 2025 was $2.2 million, an increase of $0.3 million compared to the fourth quarter of 2024 of $1.9 million. Accrued expenses at the end of the first quarter of 2025, was $4.8 million, an increase of $1.4 million compared to the fourth quarter of 2024 of $3.4 million. Now, turning to our megawatts under management and estimated future grid service revenues. As a reminder, megawatts under management is a metric we use to quantify the aggregated amount of electrical capacity from the deployment of our V1G and V2G chargers, which are primarily deployed in the electric school bus market in the United States and in light-duty fleet deployments in Europe, in addition to stationary batteries. Currently, these chargers and batteries are located throughout the United States, Europe, and Japan. Megawatts under management in the first quarter increased 3.6% over the fourth quarter of 2024 to 31.8 megawatts from 30.7 megawatts, and a 19.5% increase compared to the first quarter of 2024. In terms of its composition, 7.1 megawatts were from stationary batteries and 24.7 megawatts were from EV chargers. We continue to expect further growth in our megawatts under management 2025 as we continue to commission our backlog of customer orders we have earned, in addition to new business we anticipate winning, which we have visibility to in our pipeline for both EV chargers and stationary batteries. Now, turning to backlog, on March 31st, our hardware and service backlog increased to $19.7 million, an increase of $1.4 million from $18.3 million reported at December 31, 2024. This increase is related to contracts with customers that are expected to occur in sales in 2025. As we look out to the next several quarters, we expect to see more developments on our New Mexico contract and the Fresno project. We also anticipate improvements in our cash burn resulting for the benefits of lower operating costs compared with last year. That concludes my portion of the prepared remarks. Gregory, back to you to conclude.
Gregory Poilasne: Thank you, David. In summary, though our top-line revenue is still a work in progress, we have executed on some fundamental transformation aspects. We are reducing our cash burn while focusing the organization on profitability, and we have started to execute on our M&A plan. This quarter is a key stepping stone in our transformation. Thank you.
Operator:
Gregory Poilasne: I want to again emphasize our expectation in terms of the transformation that we are going through and the opportunities that we are facing. We are looking forward to sharing more with you over the next few months. Thank you very much.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.